Sarah Inmon: Hello, everyone. Thanks for taking the time to connect to our second quarter 2022 Results Conference Call. This event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; and our CFO, Sheldon Bruha.  By now, you should have received a copy of our earnings release, which is available on our website along with the slides that we will be referencing during todayâs presentation. If you turn to Slide 2, you can see our safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and could have a material impact on our results. We will also be referring to many non-IFRS metrics throughout this presentation. We define these metrics on Slide 4 and you can find reconciliation tables in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Mauricio Ramos.
Mauricio Ramos: Thank you, Sarah. Good morning and good afternoon, everyone. Thank you for joining us today to discuss our second quarter. Letâs get started right away on Slide 5. Earlier this year we hosted our Investor Day. Back then we shared with you our operational and financial plans to create shareholder value over the next several years. These plans are centered around our clear sense of purpose and reflect our commitment to focus ESG initiatives. The key message today is simply that we are on track to deliver on the commitments, financial and otherwise, that we made to you on our Investor Day. Since then, of course the Ukraine has been invaded, interest rates have begun to climb, inflation has spiked and there are increased risks of a U.S. recession in the near term. Needless to say, we donât expect our business to be immune from a global economic slowdown. But, and this is a big but, so far the impact of these macro disturbances on our business has been somewhat limited. One, we had a very solid Q2 even ahead of our plans. And two, although the going is getting tougher for sure and although we may lose some of the upside and leeway that we had hoped to have; as we look ahead, however, we remain very confident that we will deliver organic operating cash flow growth of around 10% on average over the next 3 years as we said we would earlier this year. And we also remain very confident that the business will generate cumulative all-in equity free cash flow of between $800 million to $1 billion over those same 3 years like we said at our Investor Day earlier this year. Weâve also continued to make meaningful progress on our plans to create separate companies for our infra and our fintech assets and to carve these out from our core connectivity business in order to help them realize their full potential and for us to harvest the equity value we have embedded in those businesses today. In both cases with the towers carve-out and the Tigo Money carve-out, we expect to begin unlocking and crystallizing some of this value with transactions in 2023, again on track with the 12- to 24-month time frame that we set out earlier this year. During the second quarter, we also strengthened our balance sheet by completing the rights offering we had designed to help fund the Guatemala transaction. And we also further advanced our ESG agenda with our climate targets now officially validated by the science-based initiatives. Now please turn to Slide 6 to look at some detail. Service revenue grew a healthy 4.5% in the quarter. This is consistent with our medium-term plans, is in line with our growth in Q1 and once again have been better than we had budgeted internally. And for a fourth consecutive quarter now, every country and every business unit grew service revenue organically. The fastest growth came from Colombia, which was up 8.5%, and we will talk about Colombia in a bit more detail later. From a business unit point of view, mobile continued to grow steadily driven by our push into postpaid. B2B had a very solid quarter accelerating to 5.7% as anticipated and with every country contributing to our strong performance. And Home grew 3.5%, slightly below our plans and there are various reasons for this. First is the shift to broadband-only subscription, which brings down ARPU. We mentioned this in Q1 and it continued in Q2. Whereas our overall ARPU is compressed, the margins on our broadband-only product are actually higher thus protecting our profitability. And our strategy to sell OTT products in what we call our content supermarket continues to advance quite well. Add this to our exclusive national soccer rights for many of our Tigo Sports channels and across our markets and the World Cup, which is coming around the corner for which we have rights, and we should see more video add-ons in the second half of the year. The second reason is seeing more intense price competition especially in Colombia. The third reason is that we have ourselves and actually quite proactively decided to slow down our sales to lower income customer segments, particularly in Colombia. We know from experience that these customers are more likely to turn as the economy slows down so wanted to get ahead of that by raising the bar on who we sell to and by maintaining installation fees. We also wanted to focus our firepower to start selling the footprint in Bogota that we will have access to going forward and I will talk about that in more detail in a minute. With this new footprint to sale and our build activity now ramping up again, we do expect to see renewed momentum in our own business in the second half of this year. Now please turn to Slide 7 for a look at our EBITDA, which was up 4.6% organically in the quarter. Sheldon will give you a little bit more color on this later on. But the key message here is that even with all the FX volatility and the rising inflation and the macro concerns that weâre seeing globally and to some extent also in our markets, we actually grew EBITDA in dollars both year-on-year and sequentially. Once again as you saw during the pandemic, our ability to preserve and to actually grow cash flow is extremely resilient. It is also important to note that we have been investing in our Colombia mobile and Tigo Money businesses over the past year. Weâre now starting to see the service revenue growth pick up massively in Colombia and that growth is dropping to the EBITDA line as well as you will soon see. Now on to how weâre tracking to our operating cash flow goals. On Slide 8, you see that the phasing of our CapEx spend has been more front-ended this year than it was last year. This has been by design. We told you at the Investor Day that we see annual CapEx normalizing at around $1 billion. So you can see here that we expect to invest a lot less in the second half of this year compared to last year. As I said, this is by design and this is meant to drive very strong operating cash flow growth in the second half of the year. As you know, weâre aiming to grow operating cash flow by about 10% organically on average over the next 3 years and weâre on track for that. Now letâs turn to Slide 9 to look at Colombia where we have now solved for 2 strategic challenges that have historically handicapped us in that market. First, on the mobile side, as you know, we were severely handicapped by a lack of low frequency spectrum. We have solved for that fully and now weâre growing very rapidly just as we predicted we would. Mobile service revenue growth is now almost 20% this quarter. Postpaid is the main driver of that growth and the shift it makes from prepaid to postpaid drove ARPU growth of about 7% in local currency in this quarter and this is good for EBITDA margins, which increased for a third consecutive quarter in Colombia. The second challenge we had historically faced in Colombia is access to the fixed broadband market in the key city of Bogota, the largest city in the country, where it was virtually impossible for us to build a citywide network particularly in the most attractive neighborhoods for Bogota. Thatâs why we are so pleased to have announced a few days ago that we have signed deals with both ETB and Ufinet that will allow us to use their open fiber networks to provide Tigo branded home services in Bogota. On a combined basis, these deals more than double our footprint in the city and give us access to sell an additional 1.5 million homes in Bogota without us having to deploy any CapEx upfront. We actually look forward to serving more home customers in Bogota in the near future and would also expect that this will help sustain the very solid performance we now see in Colombia. Now letâs talk about Tigo business on Slide 10. As you know, we refocused our B2B strategy just before the pandemic so it is nice now to see the results begin to come in. B2B service revenue accelerated to more than 5% in the quarter. Every country is contributing to our success. This is because the strategy has been regional. This strategy, as you know, focuses on: one, adding SME customers, which is a key growth segment for us now and going forward; and two, deploying advanced digital and cloud services to our corporate clients. As you can see on this slide, the new strategic design is working extremely well and making us continue to be very bullish for the outlook for B2B going forward. Now let me give you a quick update on our progress to carve-out our tower and our Tigo Money businesses beginning with the towers on Slide 11. By now, most of you know that our portfolio of more than 10,000 towers is already the fifth largest in the region and that weâre planning to build more than 1,000 towers per year going forward. So very significant growth potential for this asset just from the towers coming from us. The entity would also start out from a very low tenancy ratio. So thereâs further opportunity for value creation in that regard as well. Over the last several months, we have completed most of the corporate structure planning and preparation and over the next several weeks, we will be drafting the corresponding MLAs. We expect to start transferring towers later this year and into the early part of 2023 and we are on track to execute a transaction next year as we indicated during our Investor Day. As you know, we aim to bring in a partner to provide growth capital for the tower business. We want to allow this infra business to reach its maximum potential because we want to own a part of this infra play to create value for Millicom. For now, weâre keeping our options open in terms of whether we will sell a majority or minority stake and whether we will go with a financial or a strategic investor. We will cross that bridge when we get there. As for Tigo Money on Slide 12, weâre also progressing very nicely. We have largely completed the initial software development that we needed to roll out Tigo Money 2.0. This will allow us to consolidate the 3 platforms in 5 countries into a single scalable platform across all our countries. Weâre also rolling out our merchant platform as planned and as on track and 2 weeks ago, we started to pilot our lending activity. As you know, Tigo currently serves approximately 50 million mobile and residential customers so we have a wealth of knowledge about their spending habits, which will be very helpful as we look gradually to expand in this area. And finally, we continue to work with our financial advisers to prepare the company to bring in an investor who can provide growth capital and some relevant fintech experience. And as we said during our Investor Day, weâre targeting a transaction in early 2023. Finally, on Slide 13. Q2 was an important quarter in terms of advancing our agenda as an agent of positive change in the region. We joined the White House Partnership for Central America and we actively participated in the Summit of the Americas in L.A. just a month or so ago. And on the right-hand side of the page, you will see that the SBTi recently validated our emissions reduction targets. So weâre on track on this as well and weâre pleased to already be executing on our plans to deliver against those. Now Sheldon will go over the financials for the quarter.
Sheldon Bruha: Thank you, Mauricio. Let me now take you through the key numbers beginning on Slide 15. Service revenue was $1.3 billion in the quarter. Thatâs up 39% year-on-year due to the Guatemala acquisition. Excluding the acquisition, organic growth was 4.5%, which is about the same as our Q1 and consistent with our medium-term target of mid-single-digit organic growth. Our mobile business grew almost 5% and contributed more than half of the overall growth in the quarter and the majority of this mobile growth came from postpaid, which continues to perform strongly and grew 9% year-on-year. We continue to reap the benefits of the additional investments weâve made in some of our mobile businesses over the past couple of years, especially in Colombia. Finally, ForEx detracted from reported growth this quarter largely due to the Colombian peso, which depreciated about 5% on average compared to a year-ago. Like most currencies globally, the Colombian peso has continued to weaken compared to the U.S. dollar since the end of the quarter, but many of our other currencies like the Guatemalan quetzal has remained very stable. Going down further on Slide 16 to service revenue by country. Once again every country showed positive growth with Colombia leading the pack with 8.5% growth fueled by the mobile business, which was up almost 18% thanks to our very robust growth in postpaid as Mauricio mentioned. The shift in the mix towards postpaid has also lifted ARPU, which increased nearly 7% year-on-year in Colombia. Elsewhere, we saw El Salvador and Nicaragua maintain their strong momentum with growth of about 7% in the quarter with solid growth in all 3 business lines. Panama and Bolivia grew more than 2% as did Paraguay net of a negative one-off for that business in Q2 of last year. All 3 countries are showing good momentum on a sequential basis with revenues higher in Q2 compared to Q1 in almost every business line. Guatemala grew 1% in Q2. This was similar to the growth we reported in our Q1 and in line with our plans for the year. There are also some positive signs in Guatemala this quarter. Our handset sales grew more than 20% so consumer spending is in good shape and we saw good growth in both our mobile and Home businesses on a sequential basis compared to Q1 as we continue to solidify our competitive position in the market. Turning to EBITDA on Slide 17. EBITDA of $577 million was up 68% year-on-year due to the consolidation of Guatemala. But organically, EBITDA grew 4.6% in line with our service revenue growth and a meaningful acceleration compared to Q1, which was flat. Youâll recall that we were beginning to lap the investments weâve been making in consumer acquisition in Colombia and in our Tigo Money fintech business over the past year. Also impacting the year-on-year comparison was about a $10 million higher level of bad debt in the quarter versus prior year. Most of this was related to our lower-than-usual levels of bad debt provisions in Q2 of 2021 as we adjusted to payment trends from COVID and this has now reverted back to more normal levels in 2022. However, a smaller portion was related to a little lower level of collections in the current quarter, which we are actively managing and monitoring in light of the current economic environment. Finally, given the backdrop of rising inflation and the strong dollar, we are seeing some pressures on energy, labor and programming costs. That said, our EBITDA margin for the group was just shy of 40% for the quarter roughly unchanged from both the prior quarter and the prior year demonstrating our ability to offset these pressures with savings elsewhere. Now looking more closely at the EBITDA performance by country on Slide 18. Once again El Salvador led the group with EBITDA growth of more than 10% with margins improving year-on-year. In both Colombia and Panama, EBITDA grew by more than 8% after adjusting for one-offs that largely offset each other. In both countries, the strong performance in mobile is lifting margins. In Colombia, this is the third consecutive quarter of margin improvement while in Panama, margins are approaching the 45% level. Bolivia performance improved noticeably in Q2 with EBITDA up more than 7% although thatâs against an easier comparison. Nicaragua also performed well on EBITDA, but this was against a very robust Q2 last year, which is why growth was only 1.5% this quarter. Paraguay EBITDA grew 4%, but this was down 2.5% after adjusting for last yearâs one-off. This decline was due to the phasing of some of the selling and marketing costs, which included a new campaign to support our Tigo Money business. Honduras was down 1% year-on-year, but the business continues to generate very healthy cash flow and returns on capital and $65 million is the strongest EBITDA weâve seen from Honduras since Q2 of last year. Moving to Slide 19, you can see how our operating cash flow that is EBITDA less CapEx compares to the previous year. OCF more than doubled to $322 million in Q2 due to the consolidation of Guatemala. Organically, it was down less than 1% and thatâs because of phasing of our CapEx for the year as Mauricio discussed earlier. We expect to see strong OCF growth in the second half as EBITDA is growing again and CapEx spend is not expected to increase too much from the first half to the second half of this year as compared to the record CapEx we spent in the second half of last year and in Q4 in particular. The key message here is that we are on track with our plans for the year. In fact our service revenue, EBITDA and OCF were all slightly ahead of budget in Q2. And we expect organic OCF growth for the full year 2022 to land at around 10%, right in line with the plans we laid out at the Investor Day. In the next few slides, Iâll cover capital structure and capital allocation beginning on Slide 20. During the quarter, we completed the rights offering aimed at funding a portion of the Guatemala transaction and we used the proceeds to repay the remaining $450 million on the bridge loan. During the quarter, we were informed by our former partners in Panama that they planned to divest their 20% stake, which we then acquired at the end of June for about $290 million as per the terms of the initial transaction back in 2018. Panama has become an important contributor for the group cash flow and we are happy to now own 100% of this cash generating asset. And on Slide 21, we summarize some of the highlights of the Panama business. #1 in mobile and in fixed and with very solid EBITDA and OCF margins, an investment grade and dollarized economy and a much improved industry structure with the recent exit of Digicel from the market as well as the merger of Liberty and Claroâs Panamanian businesses. So an industry that is in the process of becoming a 2 player market. Finally, let me close on our leverage situation on Slide 22. A lot of moving parts here, but let me try to summarize the movements during our first half of the year. Equity free cash flow, excluding Africa, was negative $62 million. This is in line with our plans and consistent with the usual seasonal patterns, which primarily reflect the first half weighting of annual cash payments for income taxes, frequency and software licenses, variable compensation and for higher levels of CapEx booked in Q4, but paid in Q1. As a result, most of the equity free cash flow for the year typically comes in during Q4. This negative equity free cash flow was offset by $88 million benefit from the ForEx translation on our local currency debt. Then we have the rights offering that we already talked about and finally, the African exit, which basically offset the purchase of the 20% minority in Panama. So we ended Q2 with just shy of $6.1 billion of net debt. Thatâs down about $730 million since the start of the year reflecting the rights offering and net debt to EBITDA after leases was 3.04x. If we include the leases of just over $1 billion, our leverage was 3.14x at the end of Q2 versus 3.46x at the end of Q1, a 32 basis point improvement. And our plan is to use the equity free cash flow we will generate in the second half to pay down gross debt and reduce our leverage. And we expect our leverage to be around 3x at year-end, slightly higher than our previous guidance given the buyout of our 20% partner in Panama. So with that, Iâll turn the call back over to Mauricio to wrap up.
Mauricio Ramos: Thank you, Sheldon. As you can see, we had a solid Q2 slightly ahead of our plans for the year. Now we are very aware that macro conditions have gotten tougher and that there are challenges ahead that we havenât quite foreseen at the beginning of this year. But we also know, and you know this, that we have the ability as we demonstrated during the pandemic to drive and grow our operating cash flow and our equity free cash flow even in the most difficult circumstances. Ours is a very resilient -- a very cash flow resilient business and that is why weâre confident despite the more difficult circumstances that we will be able to deliver on all the commitments we made to you earlier this year. The commitments that are laid out on this page. We remain confident and committing to delivering on all of them. And that is why I, the Board and my colleagues subscribed to the rights offering that we just finalized a month or so ago. Itâs a sign of the confidence we have in our business and a sign of the confidence that we have that we will be able to drive shareholder value for you going forward. With that, weâll take your questions now.
A - Sarah Inmon: Thank you, Mauricio and Sheldon, for your remarks.  Our first question today will come from Klas Danielsson at Nordea.
Klas Danielsson: So a couple from my side for sure. So just starting on the cash flow side, I mean itâs clearly a strong outlook that youâre giving for H2 on the OCF side here, clear kind of growth from the levels in H1. I think looking at equity free cash flow, thatâs still lagging a bit. So my question is do you expect the kind of incremental OCF in H2 to kind of fully drop through to the equity free cash flow levels or are there any kind of other dynamics affecting in there?
Mauricio Ramos: So Iâll give you, Klas, just kind of a quick overlook and Iâm sure Sheldon will give you a little more color. I think the key message today, the word that I would continue to emphasize, is that we are on track to the metrics and the goals that we set out during Investor Day. And that means that weâre confident weâre going to deliver that OCF growth 10% on average over the next 3 years and that, if you work through the math, will get you to the equity free cash flow of $800 million to $1 billion over 3 years on a commodity basis weâd set as a target. Weâre on track for that. What we wanted to highlight today, and hopefully we did that quite well during the call, is that the nature of the animal here is weighted or back ended towards the second half and thatâs what youâve begun to see this quarter, as we anticipated it would, that EBITDA has begun to accelerate on the back of service revenue growth that we currently have and that we expect the OCF would accelerate significantly so during the second half getting us to be able to deliver on those targets that we have set out. Sheldon, over to you, if you want to add.
Sheldon Bruha: Yes, sure. Klas, and I made a few comments on this in the prepared remarks in the presentation. But we do have a higher level of cash outflows in the first half of the year versus the second half of the year and thereâs several reasons for that. A lot of our income taxes essentially go out in the first half of the year once we complete the financial returns, we do prepay a lot of frequency and software licenses in the first half of the year for the full year, variable comp goes out as well as we had a high spend and high booking of CapEx late last year. We finished a lot of projects. The cash payment for those spilled over into this year. So those are kind of the working capital dynamics of our group. So higher cash outflows first half, then sort of recovers during the second half and thatâs the dynamic that played out in years past and whatâs playing out a bit this year as well. So it will be easier I think once we sort of lap this first year here to be able to show you equity free cash flow on a rolling 12-month basis. For the moment youâre kind of looking at it just on a 6-month basis. So youâre kind of -- youâre seeing that dynamic, but only a partial picture of that. But look, we expect equity free cash flow to be a strong number or certainly a very material positive number this year and in line with the trend line of what weâre looking to get over the next 3 years of $800 million to $1 billion. So yes, thatâs just the comments Iâd say on that.
Mauricio Ramos: Yes. And just to give you a little bit more color because I imagine, Klas, this is super important. Colombia and the delivery of what we said we would do in Colombia is helping a lot. Margins are expanding on EBITDA, weâre lapping the investments that we have made before, weâre adding subscribers, service revenue is increasing, EBITDA margins are growing, OCF is expanding. So thatâs helping tremendously. Guatemala remains the equity free cash flow producer that we were very happy to buy. So thatâs helping on that level quite significantly as well. And the investments we made in Panama, as youâve seen from the results, are giving us one of our highest OCF growers and as a result, a strong contributor to equity free cash flow. So things are coming into place as we hoped and anticipated they would.
Klas Danielsson: Fantastic. And just to kind of follow up. Lots of questions here obviously I would ask, but to try to limit myself to 1 question, I guess. So just on a kind of higher level on the CapEx side, I mean itâs clearly been the case for you the last few years where youâve been focusing on the 4G side and thatâs kind of pulling back a bit. I mean I did notice this quarter I think both you and America Movil launched 5G kind of still at a small scale in Guatemala, but still. And I think looking ahead there, do you still see the kind of investment cycle in 5G as being a few years away from now or how are you kind of envisioning that side from here?
Mauricio Ramos: Great question, Klas, and thank you for bringing it up. Because of course as we say these things publicly to you our investor base, we also need to weigh in the way things are playing out politically in each one of our markets. And I think the Guatemala example is a perfect example of what we said earlier during Investor Day. So just to answer your question holistically. We said back then and we totally are beginning to see that to be the case that thereâs really no gotcha moment here in terms of a CapEx spike up because of 5G or fiber investments as you recall. And we said that we expected our CapEx spend to be right around $1 billion per year in CapEx and youâve just seen us reiterate that and as a result of that, consistently say weâre going to deliver on our OCF and as a result of that, on our equity free cash flow target. So nothing really has changed. We also said back then part of the reason we laid out these very careful 3-year plans is because we already own a ton of 5G spectrum and Guatemala is a perfect example of that. We launched Guatemala on the back of the 3.5 spectrum that we already had and although there are no other planned 5G auctions, politically thereâs always a moment in discussion between presidents and others as to when it should or shouldnât happen. But when you look at the way Guatemala worked out is exactly what we said would happen. It is not a big gotcha moment. Thereâs no disruption in the marketplace as a result of this. It is a nonstand-alone 5G network. As a result of that, it can be done, has been done and will be done within this CapEx envelope of $1 billion that we described. And itâs just one more operational delivery that we have done. And as a result of that, .
Sheldon Bruha: We lost Mauricio there. Well, look, I think Iâll just try to follow up there. I mean, I think as heâs highlighted, I mean we still -- Mauricio, youâre back. You just dropped off for a second.
Mauricio Ramos: Did you not hear everything I said?
Sheldon Bruha: We just missed the last 30 seconds.
Mauricio Ramos: Okay. Well, basically said I think that the punch line was that the Guatemala launch is a perfect example of the concept that 5G for us will be done within the $1 billion CapEx. We just launched 5G in Guatemala, largest market, no big gotcha moment for you. Itâs done, itâs out in the market, caused no disruption. We did it on a nonstand-alone 5G technology as you would expect we would, we did it on a spectrum that we already own and weâre doing it within the CapEx envelope. So weâre not changing the $1 billion per year because thereâs no gotcha moment. Itâs going to be done not on top of, but as a part of that $1 billion envelope. And thank you, Sheldon, for letting me know that the punch line had not been heard.
Klas Danielsson: Fantastic. Can I just sneak in one last quick question? Just lastly, kind of there was, I guess, some commotion on you noting that you received a subpoena from the DoJ earlier this year within the rights issue process. Could you kind of update us on that? Has there been any developments or anything to comment around on that side?
Mauricio Ramos: I think youâre going to hate my answer and how boring it is, probably going to be the well of no news for you. We did receive a subpoena in April of this year. You know basically what a subpoena is, itâs a request for information. The only difference is that you have to provide the information. Thereâs really not a lot more that I can tell you or anything thatâs really happened in terms of timeline or content with regards to that. We actually donât know what the DoJ is effectively investigating. What I tell you is that we are cooperating to the fullest and when I say the fullest, I mean the fullest with the DoJ because we simply want to be and continue to be that agent of positive change in the markets. And as you very well know since we self-reported some years ago, we have become and made significant investments to become what I deem to be the world standard in compliance in the region. So there is a part of me that is enthusiastic about showing that side of us to the DoJ even if itâs in the context of a subpoena. That part was not in the script, that part was not legal, but it gives you an idea of the fact that we really want to showcase to them that we are really very compliant. I get a little bit of help from the lawyers on that last point, but heck, that is what I feel.
Sarah Inmon: Our next question will be coming from Stefan Gauffin from DNB. Stefan?
Stefan Gauffin: So Colombia is progressing really well and right now what we are seeing is high inflation, really large currency movements in Colombia and now you also mentioned increased cable competition in Colombia. So can you elaborate a little bit about these impacts and how you are seeing that you can handle these issues, especially I think that the Pay TV margin can be impacted by the currency movements?
Mauricio Ramos: So Colombia, let me start with -- and yours is, Stefan, a very holistic question. So let me approach it in a very holistic manner because thereâs a lot of moving pieces in Colombia. Number one, the results are nothing short about  EBITDA expansion and OCF expansion. So pretty happy with the performance of Colombia. The macro outlook and political outlook, if you will, despite the spike in currency is actually turning out to be less dramatic than we had ourselves prepared for and anticipated. When you look at all the cabinet members that the Petro administration has put in place, all of them have been a part of prior administrations. So the sense that you get is this is not a radical change. This is a continuity in the political elite that has been managing the country. So we take some significant relief from that at the macro and political level. Now at the operating level, I will speak a little about mobile and your question kind of belies underneath this the notion that we really are working well now in mobile. All the questions before were about mobile and today weâre growing almost 20% in mobile and adding postpaid subscribers every quarter consistently. On the Home business, which I think is your point here, I want to point your attention to some of the things that are in the market and some of the things that we ourselves have been driving. So earlier this year, as I alluded, we made the call to move away from selling in some of the lower socioeconomic segments because we didnât think weâre getting a return on capital there and we thought we should be doing far better focusing our efforts on the high socioeconomic sectors of the country. And that already is beginning to work well and youâll see that come through later on in the year and into next year. Obviously the transition period means that you have to reshift your sales and your distribution to new areas and that causes a dip. So thatâs part of whatâs going on in there. There is increased competition as we mentioned and I think America Movil mentioned in there. But weâre actually quite confident that weâre going to regain quite a bit of growth on Colombia because of the new sales strategy that is going to be less churn, longer lifetime cycle value of our customers, little bit better ARPU, but also for a number of other reasons which I think are very important. Number one, the World Cup is coming up and thatâs going to put a big push on sales. Number two, I think thereâs a little bit of just the ebb and flow of the pandemic and I think that will wash out and we start to see some growth going forward so thatâs more of a short-term effect. And most importantly, this will be I think relatively important, we now have the ability to sell into 1.5 million homes that we didnât have access to before and I mean no access whatsoever. So this is 1.5 million homes in Bogota. They come as a result of the open fiber deals that we struck with Ufinet and more importantly with ETB, which will allow Millicom Tigo Colombia to finally sell to that subscriber base in Colombia. And thatâs important because if you recall 2 years ago, we barely had mobile access to Bogota because our network could not penetrate high density, high rise buildings because we were just basically on high frequency spectrum. Today, we will be able to service Bogota 30% to 40% of the nationâs GDP with both a mobile product, which is winning in the marketplace and a Home or broadband product, which is really, really important in our marketplace. And we will be able to do that second part on a CapEx side or variable cost or a success-driven model, which weâre very eager to test in Colombia and particularly because of course given that this is an area that already has some penetration of cable TV, we would rather come in -- since weâre not going to be the new entrants there, we would rather come in with a success-driven model. So weâre very happy to use this model. So I think you can expect a lot more of Colombia on the fixed side of the business going forward. And while Iâm on it, B2B in Colombia as elsewhere is beginning to become a real engine of growth. It really grew at around 5%, 5.5% this quarter and we see nothing but continued growth there. So holistically, Colombia at an operational and a financial level is becoming a better place for us and I mean this significantly. The results are good, weâre winning on mobile, weâre bullish that we now have access to sell on cable. Weâve rejigged our strategy to the better part of the socioeconomic period and we now have the ability to sell to Bogota. So yes, thereâs more competition. But when you look at the whole picture, we are far better in Colombia strategically and into the longer term for our fixed business than we have ever been in the past for the reasons that I just mentioned.
Stefan Gauffin: Can I just ask one question around Bolivia where you say you changed the commercial strategy, which resulted in loss of prepaid subscribers? Can you just describe what youâre doing and what youâre seeing in that market?
Mauricio Ramos: Simple. These were whatâs the -- Sheldon, you may need to help me out here with the right wording for this. These were not good subscribers. So this is not a cleanup. This is not -- so this is basically very low ARPU, almost no ARPU subscribers that we were spending a lot of money trying to service and keep. So we basically with the local team agreed on the fact that hey, that KPI is not going to look good for a quarter or 2, but you know what, what ultimately matters here is OCF and equity free cash flow. So just go ahead and shed them and weâll be happy to not live with those subscribers even if we have to answer a question or 2 on the matter and weâll keep the good ones. And as a result of that, you see that the service revenue in Bolivia --on mobile Iâm talking, the service revenue in Bolivia despite the competition from Entel is stable in Bolivia. By the way on Colombia, please donât miss the ARPU stabilization and improvement that youâve seen this last quarter. I probably missed the most important thing on Colombia. Sorry to go back, Stefan, but my mind lost partly there. So on Bolivia, the issue is just as I described and weâre happy that Bolivia with the difficulties that weâre having is showing mid-single-digit growth in Home. We continue to build quite a bit in Bolivia. As a matter of fact it would be growing more than it has done in the first half of this year if we had not had some delays in the build in Bolivia quite honestly. Weâre a little bit delayed in Bolivia 3 months or so and that caused us some delay in our ability to grow on Home in Bolivia, but weâre back on track. And B2B is also growing in Bolivia. So Bolivia is really improving and you see that on the EBITDA, which is up this quarter 7% or so.
Sarah Inmon: Our next question will be from Vitor Tomita from Goldman Sachs. Vitor?
Vitor Tomita: First one would be regarding the acceleration in B2B. You mentioned briefly the performance in Colombia and Bolivia. Could you give us some more color on which countries and on which types of digital services have been the main drivers there? That would be our first question.
Mauricio Ramos: Yes. So the answer is very straightforward and Iâll be fast and sweet on this one and then Iâll elaborate a little bit as I always like to do. So the first part of the question, itâs broad-based. Itâs across all countries, some more than others, but across all countries. So Panama is doing well, Colombia is doing really well, Paraguay is doing well, Guatemala is doing really well. So itâs all countries, some more than others. Very simple. The second part of the question is what about digital? Itâs basically cloud services 
Sheldon Bruha: Sorry, we lost Mauricio. Hopefully heâll reconnect here just in a quick second. But look, Iâm just expanding on what he was saying around the digital. So these are cloud services. This is going to be hosting and security that -- Mauricio, we just lost you there for about 20 seconds again.
Mauricio Ramos: All right. So you got the part on what the digital services are, Vitor?
Vitor Tomita: Up to cloud services, yes.
Mauricio Ramos: Okay. So itâs cloud, cyber security and those new ones. Now thereâs 2 really segments that are working very well for us and remember, this is a strategy that we put in place before the pandemic. During the pandemic, we took the time to continue to implement it and develop and by this, I mean changing the product line, changing the distribution, training the sales forces, being a lot more focused on what we do. And the 2 segments that are really growing behind all this is the SME sector, you know what that is. That is growing 8%, 9% and that is straight up. Weâve added to that sector maybe 30,000 to 40,000, I could be off on the right numbers here, just in the last year. So significant additions there. And the second sector thatâs working really, really well is the SMB the corporates and thatâs on the back of the digital services that Iâve just described, which encompass few things that I just described. And the growth there is volume driven. Weâve added some 10,000 accounts give or take. But significantly ARPA driven because these services are really demanded for so itâs allowing us to have nice volume, but more significantly ARPA growth in corporate. And we do expect this to be very resilient going forward by the way.
Vitor Tomita: And just as a follow-up question to that. If cloud continues to be a main driver for B2B growth, do you believe that you have any implications for thinking about margins or CapEx given that this can be more of a CapEx-light segment, but might also require some infrastructure on the other hand?
Mauricio Ramos: Itâs early days for us. But as we began to analyze all these almost contract by contract, quite frankly, we love the returns on this because they are -- I wouldnât say immediate, but theyâre very tangible returns that can be analyzed very, very efficiently. So weâll be happy to take that equation. Sheldon, I know youâve been looking at this quite a bit so feel free to jump in.
Sheldon Bruha: No, I think youâre right. You look at what weâre contemplating here around this expansion and growth on B2B once again easily accommodated within sort of our CapEx envelope and we do look at these sort of on a project-by-project basis as well for these larger ones. And certainly all of these are meeting our return thresholds as we move through this migration and growth in our B2B segment.
Mauricio Ramos: Thereâs also a part of me that loves the idea of building a significant data center business as we are on the back of all of this. You already know that we own 13 of those, they are all Tier 3. We keep building them. So thereâs a part of me that likes the notion that this is helping us drive the creation of basically a data center business. Iâll stop there because I know what the next question is and I really donât want to answer that next question.
Sarah Inmon: Our next question will be from Marcelo Santos at JPMorgan.
Marcelo Santos: I would like to ask a little bit more comment on the fixed service environment in Paraguay especially I think the piracy issue that you mentioned.
Mauricio Ramos: All right. So listen, piracy in Latin America as you know, Marcelo, has always been an issue. And sometimes the grass, as I like to say, starts to become a little bit too high and then the time comes for a severe cut down of the grass. We do that every year. And Paraguay was getting a little bit out of control in piracy. 
Sheldon Bruha: Yes. Iâll just step in here again, looks like disconnection is a challenge. But no, look, weâve worked with authorities there and weâre able to sort of identify a particular large abuser on piracy in that country and were able to work with the authorities to shut that one down. Okay. Youâre back on. We lost you there for about 10 seconds again, Mauricio.
Mauricio Ramos: No, no, keep going.
Sheldon Bruha: I was just mentioning that we were able to work with the authorities to shut down quite a large piracy operation there in the country. I think they seized almost over $200,000 worth of equipment as part of that. I think importantly as hopefully that remedies a bit of that activity, I think it also sends a strong message I think to other participants or sort of other players in that arena within the country. But look, I donât think -- I think we do recognize this is also ultimately a big part of the industry that we kind of play in. And as Mauricio sort of said, this stuff will continue to pop up. Weâll continue to be aggressive and try to work with authorities, quite frankly work with the content providers as well, and try to crack down on this and preserve sort of our pay activities as we do so.
Mauricio Ramos: So 2 comments on the things that I saw that were significant, Marcelo. Number one, the sheer focused involvement of the authorities in Paraguay is actually larger, more enthusiastic, more professional than I have ever seen. And number two, as a result of it on the media display that we put on it, a lot of these pirates have actually said publicly theyâre going out of business. They donât want to lose their investments as they have lost and they donât want to look at fines or imprisonment. And on your larger Home question, the base is growing. The base continues to grow. There is in Paraguay some of that migration from bundle, if you will, to broadband only. Piracy was a part of that of course, right? Of course because you can pirate the content and you can pay only for the broadband connection. So this will help in that. Our continued push into selling what we call the content supermarket, i.e. selling more OTT as an add-on service, will continue to work because thatâs additional add-ons that are sold and nobody can add. And into the second half of this year, remember that Paraguayan soccer will begin in the second half of this year so that will drive with all those rights. And of course thereâs a World Cup that will drive. So thereâs some momentum that should restart in the second half of this year. Thatâs the Paraguayan Pay TV and broadband story. And by the way while weâre on it, Paraguay is back on growth. Just let not that be unnoticed. Both service revenue, subscribers across the board, et cetera.
Sarah Inmon: Our next question will come from Andres Coello at Scotiabank.
Andres Coello: Iâm trying to get clean numbers for equity free cash flow and I was wondering if you can please help me clarify how much extra OpEx and CapEx was used to support your initiatives in infrastructure and also in the fintech business. How much money you are using to make this a reality next year in terms of OpEx and CapEx? And a second question, if I may, on Guatemala. I would like to know when you expect Guatemala to go back to growth, how long thatâs going to take you? Because weâve seen weakness in Guatemala in recent quarters.
Mauricio Ramos: So Iâll take the Guatemala question and perhaps give the first one to you, Sheldon, on equity free cash flow. The only thing Iâll say on equity free cash flow before I hand it over to Sheldon is fintech is basically accounting and...
Sheldon Bruha: He lost his line again. Why donât I just pick up a little bit on your questions and try to give you some color on those 2 investments. Sorry, Mauricio, you were cutting out, but Iâll just -- I was just picking up perhaps on some of the numbers. You had asked just sort of the investment. I think weâve highlighted earlier in the year the kind of annual spend weâre looking to -- incremental spend weâre spending on fintech this year. Itâs in the order of $40 million on the full year basis. That started ramping up very late last year and weâre kind of seeing sort of a full year of that now this year. Now most of that is going to be OpEx. Thereâll be a portion of that as CapEx. But from an annualized basis, you should plan on about $40 million of investment there for the full year for that activity. Look, and I think thatâs whatâs important to highlight as weâve been commenting about our equity free cash flow growth -- Iâm sorry, our operating cash flow growth of 10% on an organic basis. That is growth after absorbing about $40 million of incremental spend for MFS as we invest in that growth opportunity. So thatâs MFS. We havenât commented specifically on infrastructure investment -- Iâm sorry, on the towers investment for that carve-out. I will say there will be some costs ramping up on that. Youâll probably see that coming through our corporate costs a little bit as we move through the year as we stand up for that entity and start investing in the aspects to be able to transact with that as weâve highlighted in 2023, which is our objective. So I donât think weâre guiding specifically on the number, but just expect some incremental corporate costs as we roll through the year to just stand up that amount.
Mauricio Ramos: And to add to that, Andres, as I seem to be back on, on Tigo Money and Iâm looking beyond this year. We were all, including likely you, perhaps not as buttoned up on what would be the cost of ramping up and launching Tigo Money be and the reality is itâs demonstrating and proving to be less than we had anticipated. So weâre happy with the fact that the business launch, enhancement, Panama, et cetera, particularly into next year is going to be less expensive than we had anticipated. So from my point of view, I am happy that itâs not an investment that important as it is strategically is going to continue to have meaningful impact on dragging our cash flow down. Iâll stop right there because Iâm going to make some guys in the finance group really, really nervous because I already touched on and kind of Iâm ready to push the stop button. On Guatemala, which is a great question because it allows us to now share with you a little bit more what our plan is and what it was on Guatemala. So let me begin with emphasizing that Guatemala is doing exactly what we expected it to do, which is to be a solid and steady grower with massive cash flow generation and itâs on track to do that for this year. Itâs just an engine of cash flow. That is what itâs supposed to do for us. In terms of growth, rather than answering your question directly because then Iâll make everybody on the call very uncomfortable on the finance group, I will point you to the difference between Guatemala and some of the other businesses. Guatemala continued to grow during the pandemic. We gained market share, we inched up in revenue, we increased margins. So what youâre seeing now is just tougher comparisons than the rest of the group. So I know youâre very good at math, Andres, so youâll do that -- understand that if you average out, Guatemala remains a steady grower. Now when you look at what Guatemala is going to do going forward not just in terms of cash flow and what it does for the portfolio, but in terms of growth which was your question, think of mobile for us as we having cemented our leadership during the pandemic. You know that we took some market share. We know that weâre now going to stabilize our market and that weâre now growing on postpaid. So thatâs what we aim to do, drive growth on mobile and postpaid. Now if you look at the other business lines in Guatemala...
Sheldon Bruha: Sorry, looks like he got frozen again. Look, I think whatâs highlighting we have cemented our leadership here on the mobile side throughout the pandemic and what youâre seeing now. I think quite frankly where our growth within Guatemala is predominantly coming from is on the Home and the B2B side where sort of weâre actually now leveraging that leading market position and high market share position on the mobile piece and really into some of the other segments. And I would say just overall generally quite frankly, this is a great business that itâs really starting to benefit from the high margins and cash flow generation from our scale that weâve created there. So thatâs -- it continues to be an extremely strong cash generating asset for us and itâs benefiting from all the progress weâve made over the last couple of years there.
Mauricio Ramos: So Iâm back on and Iâm going to explain why we keep coming back on and off in a minute just to come clean with everybody. Weâre actually quite bullish on Guatemala for all the reasons that Iâve just explained. But remember, this is a healthily managed macroeconomic country. All the numbers in Guatemala are good, I think Sheldon was alluding to that. The industry structure is really good. Itâs not just a 2 player market, but itâs a market in which both players make money, both of them are fairly rational. So as we both see our cost structures pressured by inflation, I think thereâll be a lot of rationality that would go into that market. So thatâs the storyline around Guatemala and hopefully that gives you a lot of good color. Now you all may be wondering whatâs going on with our connection. I happen to be in Africa in the middle of the Serengeti and Iâm actually on a Tigo Tanzania connection, but I just want to make sure everybody understands that weâre not looking for opportunities in Africa. Weâre done and happy with that and that explains why some of the connectivity issues weâre having today.
Sarah Inmon: We have time for one more question from Mathieu at Barclays. Mathieu?
Mathieu Robilliard: Can you hear me?
Sarah Inmon: Yes.
Mathieu Robilliard: So Mauricio, in your introductory remarks, you mentioned the tough macro environment. In that context, I was wondering if you could give a little bit of color in terms of the impacts of this deteriorated environment. First, in terms of energy, if you can remind us and update us on what kind of hedging for energy costs this year and next year. And then looking at the other side of the coin in terms of pricing power, I realize that in some markets itâs quite consolidated. But how easy is it to pass price increases or more for more initiatives in your countries overall?
Mauricio Ramos: Mathieu, itâs a good question. As I said in the initial remarks, itâs difficult to imagine that we would be absolutely immune to a global recession. We certainly are no superhero group here. But the pandemic showed that we can be very adept at making our OCF and our equity free cash flow very resilient in the context of difficult macroeconomic crises. Now this will sound a little bit strange, but as you see on the Q2 results, itâs having little to no effect. Little to no effect. Now going forward thatâs not the view weâre taking and thatâs why my remarks were more balanced. We remain convinced that weâre going to hit our targets, but we are putting extra work to get there because we knew this recession, as everybody should have, was a possibility. As a result of that, thereâs 2 sides to the equation. One is the cost effect and how we will be able to mitigate that. Some costs are indeed going up like energy and labor in particular, but energy is only a fraction of our cost 2% or so. Labor is a little bit more important, some countries like Paraguay and Colombia have seen wage increases. But we successfully probably already mitigated those impacts throughout this year. These wage increases were actually made at the very early part of this year and weâve been able to manage through those by making savings elsewhere. And as a result of that, you see our EBITDA margins not only have remained flat, but consistent with prior quarters and our prior year in particular. We started working, as we always do, on everything to do with driving efficiency into the operations. Just about every quarter since weâve been around, weâve driven OCF margins up and EBITDA margins up and this last quarter was no exception and we will continue to do that on the back of efficiency programs that we put in place early this year in a very disciplined manner. They will be largely digital driven going forward, but theyâre happening as we speak because this is a consistent drive to get efficiency. So thatâs on the cost side. Now on the revenue side, our ability to pass on some of this inflation and remember in some countries, itâs only 5% in Guatemala, in others itâs a little bit more like Paraguay and Colombia. How long will inflation last? Your bet is as good as mine. My personal view is that it wonât be very long because weâve already begun to see that peak in some of our countries. But the ability to pass on some of that to our subscribers has already been tested. Weâve been doing a little bit of that already in some markets more than others. The industry structures in our markets are very good. 5 out of all our countries is a 2-player market. In many of those, we compete against companies that are not only rational, but are also facing the exact same issues. So everybody is on the same boat. So we will have better industry structures and more incentives as an industry to pass on that perhaps operators in other markets may have. And the last bit of this because the ability to pass on is not just a function of the industry structure, itâs also a function of the available money in the pockets of consumers. And I would only point you to something that you already know, Mathieu, which is remittances and 2 points I will make there. Theyâve remained high and growing. As up until last month June, which is the last numbers weâve had, they continued to grow 20% and this is on the back of really big numbers. In some of our markets, they are 20% or 25%. Bolivia in particular is beginning to see high remittances, which we hadnât before, and Guatemala and Nicaragua all continue to receive high levels and growing levels of remittances. And as you likely know, in times of crisis remittances actually tend to grow and this gives us, given our history in these markets, an important level of confidence. Remittances from the U.S. and a stronger dollar and inflation in the U.S. obviously will only help the absolute number. So those are the reasons why we think we stand a fairly decent chance of being able to pass on some of the subscriber base. So you can imagine how weâre going to play this. Weâre going to play this on the cost side with very clear goals on maintaining, sustaining our margins and growing that EBITDA margin continuously and that OCF driving it to that 10% operating cash flow growth. But doing that by continuing to drive our OCF margins, which are already up 23%. We have a pretty decent track record in doing that. And on the revenue side on top of everything that I have just said, weâre very cognizant that in times like this, volume remains our long-term objective. Our business plan is volume driven bringing more customer base to a fixed cost, great size and scale in our markets in underpenetrated markets. But throughout the shorter time, a lot of focus on ARPU is what helps win the day during this moment and that is why weâre so focused on defending ARPU during this inflationary times and Iâve already outlined how we aim to do that.
Sarah Inmon: That was our last call so -- our last question. So Mauricio, I donât know if you want to make any closing remarks.
Mauricio Ramos: Well, thank you for joining us today. We like the results we put out today. We believe weâre delivering everything we said we were going to deliver and weâre happy about that. We have renewed confidence despite the macro headwinds that we will deliver on...
Sheldon Bruha: Sorry. Look, you just finished hearing from Mauricio. But look like I said, I think weâre very happy with the quarter and very happy with the performance and we continue to see the broad-based revenue growth that weâve achieved across the business and as well as the momentum weâre certainly seeing on the EBITDA side year-over-year. So with that -- Mauricio, I guess youâre back on. But I think with that, thanks for your time and look forward to speak with you next quarter.
Mauricio Ramos: I think you probably did a phenomenal job, Sheldon. The key message is weâre on track and weâre going to deliver on that three-year plan that we promised earlier this year. Thanks for joining today.